Operator: Good morning. My name is Melissa and I will be your conference operator today. At this time, I would like to welcome everyone to the Dundee Corporation 2016 Fourth Quarter and Full-Year Results Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. John Vincic, you may begin your conference.
John Vincic: Thank you, operator. Good morning, everyone, and welcome to Dundee Corporation’s 2016 fourth quarter and full-year results conference call and webcast. The company’s financial results were issued last night and are available on our website at dundeecorporation.com. Before we get started, please be advised that the information discussed today is current as of December 31, 2016 unless otherwise indicated and the comments made on today’s call may contain forward-looking information. This information by its nature is subject to risks and uncertainties and as such actual results may differ materially from the views and expectations expressed today. For further information on these forward-looking statements, please consult the company’s relevant filings on SEDAR. Also, please be reminded that all currency amounts discussed on today’s call are in Canadian dollars unless otherwise stated. Our presenters today are David Goodman, Dundee’s Chief Executive Officer; and Lucie Presot, Executive Vice President and Chief Financial Officer. Joining them for the Q&A session following the conclusion of the formal remarks are Mark Goodman, Chief Operating Officer; Richard McIntyre, Executive Vice President, Wealth Management; and Eric Klein, Executive Vice President, Business Development. And now, I would like to turn the call over to David Goodman. David?
David Goodman: Thank you, John, and thanks to everyone for joining the call this morning. Over the last three years, we cut expenses, sold non-core businesses, hired new executive talent to lead our investment companies, and raised more than $0.5 billion of liquidity. These actions were necessary and aligned in support of two broader objectives, which helped focus our decision-making; one, managing our overall liquidity position; and two, actively engaging the oversight and optimization of our portfolio. Throughout this challenging period, our people have faced much adversity, and they’ve responded admirably by demonstrating great resilience. Our people have been on the forefront of our efforts to reposition our business. This has not always been easy for them, as we have had to rightsize our business and reduce headcount. In the last two years, we’ve gone from employing more than 400 people to less than a 100. This was required to move more of the costs to the subsidiaries that run the businesses. Managing our liquidity remains a priority. Lucie will provide more details on this later in the call, but I’m pleased that we are finalizing longer-term arrangements of our credit facility that will enhance liquidity even more. We continue to explore means with which to unlock and surface value across our portfolio. In some cases, we have formal processes in place to crystallize value, and in other instances, we have taken steps to support early-stage price discovery. With the remainder, we believe we can effect positive change by lending management expertise to help improve the efficiency and operating performance. Let me - now let me provide an overview of some of our key operational achievements for the quarter. In December, we completed the sale of assets of our capital markets business through an employee-led partnership group, which subsequently rebranded as Eight Capital in February 2017. This is a good outcome for us and Dundee continues to maintain a stake in the new entity through a $15 million loan that bears interest at 10% , and will begin generating cash flow for the company immediately. In November of last year, our South American subsidiary Union Group completed a transaction and listing of the common shares of International Cannabis Corporation on the TSX Venture Exchange under the ticker ICC. This listing allows ICC, which hold a license to sell and market recreational cannabis in Uruguay to access Capital Markets to help fund its growth in its local market and as it prepares for future international expansion opportunities. Currently, ICC has a market capitalization of about $85 million and Union Group is the major shareholder owning about 30% - 36% of the outstanding common shares. In late 2016, Blue Goose completed the acquisition of Tender Choice Foods, a Burlington, Ontario-based processes - processor of conventional check-in. This acquisition is aligned with Blue Goose’s goal of implementing strategic changes, which are designed to refocus its core business and boost its profitability. Through Tender Choice, Blue Goose believes it can expand its branding, capitalize on additional revenue opportunities in the conventional protein market. The integration is tracking against plan and we would expect to see improved financial performance from Blue Goose in 2017. Moving on to Slide 6, I’d like to update you on other parts of our portfolio. The Parq casino resort project in Vancouver remains on track to be completed and operational by the fall of 2017. Once open and in operation, we expect the value of this project will increase. However, the project carries significant amounts of high-yield debt and we will most likely look at refinancing options. We would expect that having moved through the construction phase and successfully ramped up - and once successfully ramped up, the project would be significantly derisked enabling us to potentially refinance on more attractive terms. As reported last quarter, following a successful recapitalization, United Hydrocarbons embarked on a strategic review process. This included the hiring of investment bank and the establishment of a data room to help facilitate the search for possible joint venture partners and investors. Following a period of high interest, a number of non-binding bids were received, and in January of this year, United entered into an exclusivity period with its preferred partner. Due diligence is ongoing and United anticipates it will receive a detailed term sheet in the second quarter of 2017. In January, the public shareholders have done the acquisition requested a greater level of redemptions and contemplated in the plan qualifying transaction. As such, the transaction was halted and the company has been pursuing various strategies, including a potentially smaller public transaction, or a similar private fund alternative transaction. We remain supportive of efforts to complete an alternative transaction and believe this has the potential to deliver value to the corporation. Now I would like to turn the call over to Lucie Presot, who will review financial information. Lucie?
Lucie Presot: Thanks very much, David, and good morning, everyone. Let me begin with a review of our financial results for 2016 and for the fourth quarter itself. Through 2016, we reported a loss attributable to our shareholders of $145.8 million, or approximately $2.54 per share, most of which reflects operational losses from our operating subsidiaries. While this marks a significant improvement over last year’s losses of $459.1 million, or $7.99 per share, it also demonstrates the strategic direction of the corporation, as we continue to optimize our portfolio holdings. Changes in the market value of our investment portfolio generated positive market appreciation of $8.6 million in 2016, compared with a negative market depreciation of almost $280 million last year. Our publicly traded securities saw market appreciation in excess of $53 million in 2016, and the fair value of this component of our portfolio was more than $215 million at December 31, 2016. We are encouraged to see strong continued growth in these marketable securities and we can say with some certainty that we anticipate reporting values in excess of $300 million for the first quarter of 2017. The strength exhibited by our portfolio of publicly listed holdings was partially offset by a $36 million write-down of our investment in TauRx after its Phase 3 trials failed to meet their primary objective last fall. TauRx currently anticipates conducting one or more fully randomized study in order to test for the difference between the use of the drugs as a monotherapy verses an add-on therapy. Financing for this next phase of clinical trials is required and TauRx anticipates raising funds through a rights offering. In the interim, we’ve discounted our investment by approximately 50%. For 2016, we’re reporting losses of $5.6 million from our equity accounted investment, excluding real estate investments accounted for on an equity basis. Union Group success with the listing of International Cannabis Corp. was offset by flooding and landslides that destroyed two critical power projects in their Peruvian operations. On a net basis, we’re reporting a loss of about $1 million from our investments in Union Group and another $18 million in comprehensive loss reducing our carried value to about $49 million. David has provided you with an update on the status of our investment in the Parq casino project. The existing Edgewater Casino that forms part of the Parq project generated revenues of nearly $70 in 2016. And the Parq project itself, including the development of the real estate reported net income of about $8.9 million, of which our share is $3.3 million. Last year, Parq reported losses of $44 million. Parq’s results are subject to significant fluctuations from foreign exchange movement, as the project financing is denominated in U.S. dollars. Our equity losses in 2016 also included losses of about $4 million from our stock investment. We expect, we may incur up to another $1 million of losses as Dundee acquisition produced other strategic options. Our operating subsidiary incurred pre-tax losses of $129.1 million in 2016, compared with losses of $156.3 million in 2015, and that’s after adjusting for $215 million impairment we took in the third quarter relating to our investment in United Hydrocarbon. Revenues from our operating subsidiaries fell to $267.9 million in 2016, compared with $280.7 million in the prior year. About $20 million - a $28 million of the decrease is revenue that was previously associated with the retail business of Dundee Securities, which we sold in April 2016, and the Capital Markets business, which was spun out to key employees in December 2016. These divestitures were highly strategic for us. Combined, they freed up more than $60 million of capital for redeployment to other businesses. Perhaps more importantly, they were critical in helping us to reshape our cost structure and lowering some of our ongoing expenses related to our overall infrastructure requirements. And the positive effect of these actions are now reflected in our financial results. With general and administrative costs decreasing by more than 30% in 2016 to $139.5 million, compared with $205 million of G&A expenses in 2015. To an extent and because we share the same physical location, the same infrastructure savings can be seen in the results at the corporate office level, which saw G&A costs drop to about $22 million in 2016, which was essentially in line with our expectations and down about 10% from last year. Our corporate run rate in the short-term remains constant at approximately $20 million per year, down about 25% from three years ago. And we anticipate interest and dividend cash requirements of another $16 million this year. We will speak actual liquidity and borrowing capacity in a moment. But before we do that, just review the fourth quarter results briefly. We are reporting a loss in the fourth quarter of $106.9 million, or about $1.85 per share. Included in the fourth quarter loss is market depreciation of $102.7 million in our portfolio, including $32 million from our investment in TauRx. Our operating subsidiaries incurred net losses of about $28.7 million compared with losses of $44.4 million in the fourth quarter of 2015. As we saw on a year-to-date basis, consolidated G&A costs decreased to $33.6 million in the fourth quarter of 2016, compared with $52.9 million in Q4 2015. The management of our liquidity and the implication of available resources on the allocation of our capital remains a strategic priority. Let me take a moment to walk you through where our cash was allocated in 2016. We started 2016 with cash, net of cash resources of $25 million. We took in cash of about $145 million during the year, including $85 million from sales of investments of which $38 million is from the sale of Dream, which was completed in the fourth quarter, and about $61 million from freed up capital following the divestitures of the retailing Capital Markets division. We reinvested $115 million into our portfolio, including $42 million for our Parq project and $18 million to support the roll out of the Capital Markets division as a standalone entity, and another $45 million in our operating subsidiary, including Blue Goose, United Hydrocarbon, and the development of our Wealth Management platform. We spent $20 on corporate overhead, and another $19 million on interest and dividends. Another $20 million was used to redeem the first tranche of our Series 5 preference shares, and we ended the year with debt, net of cash resources of about $53 million. Our projections for 2017 remain essentially unchanged in the short-term. We continue to expect about $20 million in corporate overhead costs, which should decrease in the second-half of 2017, and another $15 million to $20 million of dividends and interest charges. In the fall of 2016, we began looking for ways to enhance our borrowing capacity with our lenders. We are currently finalizing longer-term credit arrangements with our banking facility. We believe that with this borrowing capacity and with the value of our portfolio holdings, we have the capacity to actively manage our capital affording adequate time and flexibility to our business development team to unlock and surface value across our core portfolio position. This concludes our financial review. And I will now turn the call back to David Goodman. David?
David Goodman: Thank you, Lucie. In spite of the challenges and obstacles we faced in 2016, we remain optimistic about the outlook for Dundee. We kept our focus in the face of significant adversity and continue to make progress against our longer-term strategic goals. Disciplined capital allocation, portfolio oversight, and optimization in cash and liquidity management continue to be the overarching themes guiding our business in 2017. Some of the catalysts we’re focused on this year include the derisking of the Parq casino Project in Vancouver. Once completed and operational, we expect it to be in a strong position to refinance and contribute EBITDA to our corporation. The continued strategic repositioning of Blue Goose driven by its ongoing integration of the Tender Choice acquisition. We think with the ability to expand its product offerings while achieving operational cost savings, we expect to see improvements in EBITDA from Blue Goose. A successful conclusion of the strategic review process by United in the second quarter remains something we’re focused on. This should give us more clarity on the value of this business and its potential going forward. We continue to look at opportunities for a platform acquisition to help accelerate growth in our Wealth Management business. Let me conclude by once again acknowledging the hard work and dedication of our employees and those of our subsidiary corporations. Their persistence and character is appreciating and will be critical to our success going forward. And finally, let me thank our shareholders again for their continued support. This has not been an easy time for them. And as a fellow shareholder, we are neither happy nor satisfied. We believe the best path forward is to manage our portfolio with an eye towards maximizing the value of our broad base of assets. If we can increase the asset value to improve the operations or crystallize value through asset sales by attracting new third-party capital. Then we believe we can ultimately provide the market with a better understanding of the overall value within Dundee. Following this path in our view will ultimately manifest itself in a stronger portfolio capable of delivering longer-term value for all shareholders. With that, we would be happy to take any questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Steven Boland from GMP Securities. Your line is open.
Stephen Boland: Morning everyone.
David Goodman: Good morning Steve.
Lucie Presot: Good morning.
Stephen Boland: I guess David just on that theme of liquidity, I mean just reading through the notes that your credit line, I believe, right now is $80 million, $54 million drawn. Did you just expand a little bit you said you renegotiated, that seemed to be just renegotiated, are you renegotiating I guess the size of that line. And I guess maybe where you see the capital allocation kind of going forward over the next couple of quarters?
David Goodman: Yes, we’re in the final stages of renegotiating a longer term line of approximately the same size with our banking syndicate. We expect to be in a position to announce something more formal in the coming days. In terms of capital allocation, we work really hard to get our subsidiaries to the point where they do not require more capital from us and are in a position to hopefully contribute capital to us. So, a good example of that is the transaction we get with our capital markets group where we provided them with capital, but our capital is at $15 million, we will not be providing more capital. And we received $1.5 million back within the year, possibility of more than that based on the success of their enterprise. We’re trying to get the same type of return of capital without requiring more capital through transaction in United and potentially through the completion of the Parq Casino. And so that’s what we’re looking to achieve here.
Stephen Boland: Okay. And maybe if you could just - you did mention about Wealth Management acquisition. What type, maybe you could just again remind me what your - what kind of platform are you kind of looking at? What type of product? You know now that you’ve kind of - you’ve been in this position, I guess, and obviously looking for a while now?
David Goodman: Yes, we’ve been, A, we’ve been choosy, because we need the right platform acquisition. And B, there aren’t a lot that are at the level yet that we want to pull the trigger. We would look for something that has the ability to gather assets and manage assets of high net worth individuals with processes and procedures and enough IP to be able to allow us to expand on that platform and grow it significantly from there. We had – we’ve danced with a few and we continue to dance with a couple and we hope to be able to get something done in the near future.
Stephen Boland: Okay I’m sorry, one more. David, maybe you just remind me, I know this is probably somewhere public, but just an update on the stock, where is it on the qualifying transaction?
David Goodman: Right, so Dundee Acquisition Corporation, Steve, is its own public company. So I don’t want to step on any toes and I want to allow that public company to disseminate its own information. As the sponsor and significant shareholder, we saw the results of the vote that came out in January where overwhelming number of shareholders wanted to take their money back. And so they’ve been working on an alternative transaction to that, which might see this come out in a private form. But I would stay tuned, we expect to see some disclosure from Dundee acquisition in near future.
Stephen Boland: Okay. Thanks very much.
David Goodman: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Brett Reiss from Janney Montgomery Scott. Your line is open.
Brett Reiss: Yes, hi David. Hi, Lucy.
David Goodman: Hi, Brett.
Lucie Presot: Hi, Brett.
Brett Reiss: Blue Goose, the Tender Choice acquisition, I see in the financial statements they did $15.7 million in revenues and they earned $1.8 million and we paid $59 million for that, which is like 3.75 times sales and 32 times earnings. On the surface that that seems a bit rich to me, why was it important to buy Tender Choice for the Blue Goose?
David Goodman: Well, we think that there’s been - obviously it’s a little bit slow in the ramping up of the business on the transition and they had a couple of, I guess, integration issues in the early, early stages that they’ve overcome. We think this represents a strategic opportunity for Blue Goose to expand its sale. One of the issues is on getting enough quota of organic chicken to be able to sell. And what the Tender Choice facility provides to us is the ability to process birds ourselves and give us the ability to source birds through different suppliers. So, we think from a vertical integration of the business perspective, that Tender Choice can be and will be a good strategic acquisition for the Corporation on a go-forward basis. The integration issues that we experienced early, we believe have been overcome and we expect to see better results going forward.
Brett Reiss: Because of the Tender Choice acquisition, you know in the past you said you were guardedly optimistic that Blue Goose would be cash flow break-even. So has that been put off to some future date?
David Goodman: No, we’d still expect it to be cash flow break-even and we expect it to be better than that. We are looking for Blue Goose to contribute meaningful EBITDA to the Corporation. And we think the Tender Choice acquisition helps accelerate that.
Brett Reiss: When do you anticipate EBITDA contribution to Dundee on Blue Goose?
David Goodman: This year.
Brett Reiss: Okay. Not to beat a dead horse on Blue Goose, but one more, the $88 million or close to $89 million of Blue Goose debt, what portion of that do we guarantee?
Lucie Presot: Brett, I’ll take that answer, there is no recourse on that debt to Dundee Corporation at all, other than we have provided a guarantee of a $10 million from one of our subsidiaries and it’s limited to that subsidiary and it’s again certain land. So there is no other recourse up to Dundee Cooperation.
Brett Reiss: Right, that’s the Dundee Agricultural division, right?
Lucie Presot: That’s. Right, that’s right.
Brett Reiss: Okay, okay. The casino project, are you at liberty to give us an opinion on what your base case value - valuation of what the project will ultimately be worth and what percentage of it do we own at this point in time?
David Goodman: Yes, look, it’s very early because we’re taking an existing casino, we’re moving it across the street and we’re adding hotels and parking and a much more advanced casino operations. We’ve been looking at this as a project that should be able to generate between $75 million and $100 million of EBITDA in the future, that is a estimate that you should take as just - these are ballpark figures that we’re using to sort of guide how we look at the project. We own about 40% of it.
Brett Reiss: Right.
David Goodman: Through - some of which is through a preferred share and some of which is through common equity. We’re very excited about it, it is taking shape in a very nice way and the project is balanced and scheduled to open in the fall 2017.
Brett Reiss: Right, does the EBITDA start to flow in a positive basis when it opens in the fall of 2017?
David Goodman: Well, we’re talking about that is not open yet, so to some extent, we have to get it opened. We have to ramp it up and then we got to see if the horse can run and how well it does run. These are - we’re giving you our investment thesis on it and we think it will be - this has the potential to be an investment that contributes meaningfully to Dundee Corporation’s EBITDA as we consolidate and recognize our investment.
Brett Reiss: Right, right. On United Hydrocarbons and the other party that you are working out some sort of arrangement, you know on a scale of one to 10, 10 being something is going to happen and one not happen, what would you say it is?
David Goodman: Well, you know what, that’s very tough question. We like this partner, they strip by us. We you know - I’d like to think it’s over five.
Brett Reiss: Right.
David Goodman: But we don’t recognize that this is you know the risky situation. This is a company that operates in South Africa and that comes with certain risk. But we are, I’d say, optimistic that we are going to get something done here. So I’d say it’s greater than five, but I think we all have to be cautious about the expected investment.
Brett Reiss: Okay. I know, because I’m a share holder in Dundee Energy, I had disappointing - the decision in Spain was for me and I’m sure for you, I know it’s a publicly traded company, but we do own 57% or 58% of it, what can you say to me on what the destiny and state of Dundee Energy is going to be over the next quarter or so?
Lucie Presot: Brett, it’s Lucie. That’s a very good question and also one that is difficult to answer. Certainly we were extremely disappointed to see the arbitration result. Our council in Spain is reviewing that decision and we hope to have a better idea of what it all means and what our potential would be from that decision within the next couple of weeks or so. We did tell you that Dundee Energy is undergoing a strategic process, a strategic investment process, so we will certainly assess what our opportunities are there. We’ll look at what it would cost us to continue operating those assets and we’ll assess that in light of the arbitration suggestions that we get from the council. It’s very difficult to say where we will from here and that’s coming from Dundee Energy.
Brett Reiss: Right, right, right. And Lucie I think this is for you. I know and it says quite clearly in the financial statements that the $57,400 million debt of Dundee Energy is nonrecourse to the holding company and the $89 million Blue Goose is nonrecourse, I guess less the $10 million that maybe Dundee Agriculture, you know is on the hook for, but why is it listed as long-term debt if it’s not an obligation of the corporate parent?
Lucie Presot: Can I claim it on accounting rules, Brett. These are operating subsidiaries redeemed under IFRS to control these entities and therefore notwithstanding the fact that they have no recourse to us, we gave to consolidate them through the accounting rules. And we do our utmost to ensure that we’ve explained the situation and the arrangements, the ultimate legal arrangements in the notes to the financial statements.
Brett Reiss: Okay, all right, I appreciate you answering my questions and let’s hope 2017 is better for us.
David Goodman: Indeed, thank you Brett.
Brett Reiss: Okay.
Operator: Your next question comes from the line of [Lisa Landis] [ph] from private investor, your line is open.
Unidentified Analyst: Hello, good morning, guys.
David Goodman: Good morning.
Lucie Presot: Good morning.
Unidentified Analyst: Okay, I got a couple of questions. The first one is regarding the Wealth Management business, and I would like just to you know have your opinion on it and where could it reach in, say, five years? Where could that whole division be five, 10 years from now and I obviously mean it from the free cash flow production capacity?
David Goodman: Well, it’s a super difficult question to answer to make five year projections of cash flow. I have been involved in this industry for a long time and have not been able to come up with numbers like that. But luckily we have Richard McIntyre with us this morning who is the Head of our Wealth Management division, he worked with me for a good long time. So Richard, what do you think of that question?
Richard McIntyre: [They pass] [ph] David, thank you. Thank you for the question, I think that we’ve done a lot of work trying to model out this organization and what interesting about it is that we believe in many, many lines of opportunity and product opportunity. If we look at just really from an asset perspective, and again you’re looking at five years, so don’t hold me to this, but they are scaling the reason why we can get you know $7 billion to $8 billion of asset in this segment, I think that would be reasonable. In terms of what we make on that business, 50 basis points from a profit perspective. Make - start to lay into the asset side, things like insurance, things like or some of these business where they will see some relationship there that we can start to look at. Then you start to seeing more profitability coming from that. So for me it is really about scale and getting to the fairly significant number, but what we can given those are the capital things that we currently deal with, but once you get out, this is going to be a very profitable organization so - and manage the added things like alternative. We can populate our clients with us well, but you are tied at credit strategy has been of course your margin raising higher, so I think it’s a very scalable business with a lots of upsides from a profitability perspective.
Unidentified Analyst: Okay, great. And just some of your standards are a little better since you guys are creating it, which platforms will it be like the main builder, the main channel, is it going to be the private equity funds or is it going to be managed funds like hedge funds or is it going to be the stacks or any other platform?
Richard McIntyre: The new platform that we are trying to really create is our investment counseling platform and what we liked about that is, that it actually has direct contact with high net worth, ultra high net worth families and individuals. But once you have that relationship then what we can do is create very visible product for the needs of those clients and it’s a very client centric approach, they were trying to build it, so obviously you need scale and access to those clients. The fastest way to do that through is acquisition. Given demographics of what’s happening in Canada and over the world, obviously we see a lot of advisors who are leaving this business and we want to take advantage of that and bring those clients on to our platform and bring those advisors onto our platform with their clients and then really ready to manage transition over a period of time to make sure we do that in a proper fashion. So think that the real focus is investment counseling side but really having a holistic Wealth focus, because obviously when you are dealing with Wealth Management, it’s more than just invest to asset is real estate, it’s transpiring of that wealth, it’s some governance, it’s all the transition that really impact the wealth of the family. The other fact which I think is very important is the concept of business owners, we really like that segment, we see that being a colorful segment over the 10 years given the demographics and again we want to kind of focus our services on delivering to that particular segment.
Unidentified Analyst: Okay. My next question is regarding the cash burn. Lucie mentioned an estimate of around $20 million on the yield they had and $15 million on dividends and interest, so that’s like $35 million. I was just wondering who’s going to generate this $35 million to pay for that, I mean, which business or how we’re going to finance it? What’s the plan there?
Lucie Presot: So, it’s Lucie, I’ll take that question. The intent for the current year is to use available borrowing capacity and our portfolio of marketable securities that are non-core to our business. But we will augment that certainly from cash flows that we’re seeing generated from the arrangements that we have from the capital markets business and from the lending that we have done to some of our subsidiaries that are now starting to show a more positive EBITDA. So we’ll manage it with the reverses that we have on hand and some revenue coming in from some of the lending arrangements that we’ve made.
Unidentified Analyst: Okay and then just one…
David Goodman: And it’s our intention to lower it.
Lucie Presot: Yes.
Unidentified Analyst: Will you say that again please.
David Goodman: And for the future it is our intention to lower those numbers.
Unidentified Analyst: Right, right, okay. And in that regard, regarding the public portfolio of securities, you sold part of the DREAM position. I was just - I just wanted to have your feel on that decision, given I thought it was like a main investment into the portfolio. So why the DREAM or why reduce the DREAM regarding all your other options?
David Goodman: Well, we owned a lot of DREAM, we owned about excess of 20% of the company, we took our interest down to 19.9%, so it’s still a very significant core holding for us. We decided to increase our liquidity and lower the amount of debt from this organization significantly so that we could pay to the shareholder with a much lower debt level. We think that gives us a much better position for long-term liquidity. Unfortunately the price between shares were very unattractive and we consider that stock to be extremely well managed and extremely undervalued.
Unidentified Analyst: Right.
David Goodman: If you go through the results that they posted, we think DREAM is a very cheap stock in here. So we made what was the painful decision, back in I guess Q4, things have gotten, I think significantly better since then and on go forward basis, we think our assets holding this company are improving. And so we’re feeling we’re confident.
Unidentified Analyst: Okay, all right. Thanks for the questions.
David Goodman: Thank you.
Operator: Your next comes from line of Jayme Wiggins from Intrepid Capital. Your line is open.
Jayme Wiggins: Hey, good morning, thanks for taking my questions. First one, I think I saw that you’re showing $46 million of net assets on the balance sheet as of 12/31 related to Dundee Securities. Did I read correctly that you’re trying to transfer that business to A, capital. And if so, does all that value go with it?
Lucie Presot: No, so what you see there is the residual business of Dundee Securities that we have retained. We do still have some small retail operations and that is the work that - it will remain with us in the short-term. Richard, did you want to add to that?
Richard McIntyre: Yes, when we did the transaction, we did keep two advisors and really a company called Resolve, and this play over $1.3 billion of assets there that actually does generate and will generate a profit for us in 2017, so it actually represents a very significant term of events versus our performance of last year. We don’t have any immediate plan for that business, but it’s one that actually is contributing to the organization.
Jayme Wiggins: All right, on the subject of improving liquidity and reducing the cash burn, as the prior caller mentioned, you sold some DREAM, but you also made an additional investment in Dundee Precious Metals in the middle of last year. Do you still plan to make investments in publicly traded companies?
David Goodman: The Dundee Precious investment was a strategic investment, we wanted to make sure that Dundee Precious was put in the strongest position possible and move forward with its plans. As the largest shareholder, they were doing a financing and we wanted to show our support for that company and we made that investment. We may continue to make investments in opportunistic public companies as they present themselves to us in the future. And so the short answer is, yes, we’ll probably make some more investments, but you’ve heard our strategy on managing our liquidity and it will be within that context.
Jayme Wiggins: All right, back to Tender Choice, what kind of normalized EBITDA multiple do you think you bought that business for?
Lucie Presot: I think on a normalized basis we’re probably looking at EBITDA ranges between, let’s say, around $12 million. So, I think that would be about 5.7 times.
Jayme Wiggins: All right, thank you for that. And I have a few more quick ones, it sounded like most of the write-down related to Union Group related to the natural disasters that took place, does that company have insurance to protect against that?
Lucie Presot: It was not able to recover on insurance, it’s why that took the write-down. The insurance provider considered it as an act of God and they would not cover it.
Jayme Wiggins: Okay. And then on Dundee Energy, I had to spend a whole lot of time on this, because of its insignificance, but I did notice in the financials that Dundee provided a $2.5 million support letter to Dundee Energy for reclamation liabilities. I guess, I’m looking at the market cap of that business and the pain that I feel every time I see the consolidation even though it’s not really mattering a whole lot from a cash flow perspective to Dundee Corporation, but I’m wondering why give that business any money at this point?
Lucie Presot: It’s somewhat of a public relations agreement. The reclamation obligations here in Ontario is governed by Ministry of Natural Resources and Forestry. And they wanted to ensure that Dundee Energy’s largest shareholder would support the reclamation activities. Dundee Energy right now has sufficient cash flows to cover its obligations and we don’t actually anticipate having to actually provide any cash to it, but the support is there to the Ministry.
Jayme Wiggins: Okay, remind me why is the public relations that important, I guess you have other assets there that this could come back to bite you. But explain to me why it’s worth putting up potential money for public relations reasons?
Lucie Presot: Well, public relations in a sense is keeping our relationship open with the Ministry of Natural Resources. If Dundee Energy were unable to meet its reclamation obligations, there could be significant consequences monetary and light up true to its major shareholder. So, we felt that this is a good position to take and again we don’t anticipate actually having to fund any of that.
Jayme Wiggins: Okay. Just a couple more, David’s tone seemed a little cautious on Parq Casino even though you threw out some pretty nice goal numbers for potential EBITDA. I guess my question is, everything is on time, so I know there’s high interest rate debt on the construction financing, but why the cautious tone? What are the potential hiccups where you don’t reach your goals for cash flow for that asset?
David Goodman: On the first opportunity, I’m always cautious when dealing with making predictions of the future. We really like this asset and we take it as, it has potential to be a marquee asset for Dundee Corporation. We think it will be one of the great entertainment district assets in the City of Vancouver. It will be beautiful and we believe it will be very successful. As an investor like you, I’m - my - what - the things I’m looking for is, whenever there’s a development there’s always a risk, a construction risks. And so I’m cautious about getting that built. So my first thing is, we are confident that we’re getting this opened on time. And as we get to, I think, completion date, I remain on guard for the things that the developments may need. So if it needs more money, we remain on guard for that. Number two, once and more importantly, I think, once it’s built and running, we have to make sure that it runs fast enough and hard enough and well enough and efficiently enough that it significantly generates more cash flow than interest that it would have to pay. And so that would be my two notes of caution. But having said that, we think that the interest obligation will go down over time and the EBITDA opportunity will go up over time. So we are cautiously excited about this asset. We think it is the opportunity to present us with a meaningful cash flow for years to come.
Jayme Wiggins: Okay, and thank you for giving me sometime. I do have two more, I think, they’re decent questions. So, Goodman & Company, I’m seeing $3 million of revenue for last year $15 of costs, I think I might have seen that you reallocated some personnel in that segment. So the question is, when you comment on $20 million corporate overhead plus potentially $15 million to $20 million of interest and preferred dividends, does that $20 million include Goodman & Company or is that $12 million deficit on top of that?
David Goodman: I think it’s on top, but it’s not $12 million forever, right. And we’ve had some costs have gone in upfront in terms of when we brought on new people, there were some guarantees and some of that relates to the cost of this fact. So on a go-forward basis, I would expect that number to be lower. But I also expect that we will continue to grow the business and gross the revenues. They’ve got a pretty good year last year. We added with $35 million of - on a CMP fund. The performance in the group was good enough to earn $0.5 million performance fees. We grew the assets, I guess to about $180 million, up from about $100. So it does represent a good opportunity for growth. I wouldn’t annualize that $12 million cost number for the future. We think we get that number down and we’re working on ways to get this group to break-even more quickly than - and at lower asset levels than we previously thought. We think it’s a good long-term acquisition for us and a good long-term growth potential.
Jayme Wiggins: All right. And then for my final question just putting you guys on the spot, given the cash train that we’re seeing that we’ve felt for several years here, give us a realistic goal that you have internally maybe for when Dundee will be cash flow positive? And maybe what it will take to get there? And that’s it for me. Thank you.
David Goodman: Thank you, JV. What it take to get there is probably we’re all started. We have to reduce the ongoing earnings cost of the organization. We’ve taken some really big steps already on that, and I think we have a little more to come. Some of our expenses relate to interest, the most significant of which would be our $82 million Series 5 preferred share, which yield 7.5% and secondarily would be our bank debt. Over the next several years, it’s our intention to lower both of those numbers. The preferred share disappears in June of 2019. And by then that interest payment will be gone. And the bank debt has taken really strong sets to lower. And we’re going to continue to manage it and then some of our assets come how [indiscernible] we’ll eventually to be able to operate on no bank debt. The - but to get us into a cash flow positive position, we need to start receiving some positive cash flow from our investments. We are optimistically - we look if we can convert our investment in United into an investment that generates an income for us, that would be great. If you think the casino comes on line in October and that has the potential to generate the income into the company. Blue Goose delivers on its strategic plan as we are hoping it well still be in a position to deliver cash flow into the company. So I don’t know exactly when it happened. But the plan is that it happens as soon as possible. Thank you for your question.
Jayme Wiggins: Thank you.
David Goodman: Operator, is there anymore questions.
Operator: Your next question comes from the line of Brett Reiss from Janney Montgomery Scott. Your line is open.
Brett Reiss: Thank you for allowing the follow-up. The amount of money over the next year that will come in from the lending arrangements if they all pay their obligations, how much would that be?
Lucie Presot: Brett, we’re still finalizing some of those arrangements. So we aren’t able to give you any kind of quantitative number now. But it will contribute significantly to our cash flows.
Brett Reiss: Okay. I mean, we know one, it’s $1.5 million on the $15 million left from that Eight Capital?
Lucie Presot: Yes.
Brett Reiss: What are the other, I know, you can’t give me amounts, but what are the other entity that is supposed to on the lending arrangements?
Lucie Presot: The one that is finalized right now is the convertible debentures with Blue Goose.
Brett Reiss: Okay. And that’s finalized and what’s the rate on that and what’s the face amount?
Lucie Presot: That’s eliminated in our consolidation, it’s not a number that we’re disclosing right now, Brett.
Brett Reiss: Okay. And Dundee sustainable technologies, which has a lot of exciting potential, any - can you give us any update on that?
David Goodman: I’ll ask Eric Klein, who’d be working closely with the team and the new management at Dundee. So Eric, why don’t you take this?
Eric Klein: During the year, greenhouse taken the grains. I mean we have got some very exciting opportunity. Clearly, what we’re seeing is opportunities in the pipeline to generate revenue, they’re small, but they’re meaningful project, because they are creating a sense of my ability and the technology. We’re well recognized that [indiscernible] this year. There was an opportunity to be invited into a program where they were able to present the technology and gain a fair amount of recognition and that’s created some follow-up interest in the company. We are looking at ways to create some partnerships that will probably put us on a strong financial growth and allow us also grow. So they’re small but they’re meaningful sets and that we solidified good management. And I think there is some positive revenue coming. It’s small, but they’re meaningful steps for us to spending ourselves.
Brett Reiss: Would you consider basically selling the technology and taking back a kind of royalty since Dundee corp. is not really in a position to make material capital infusions into Dundee Sustainable Technologies?
David Goodman: Well, the company is assessing what is fast business plan is going forward. And they have to wait the royalty business model against other business models that they have. We are still very excited about the technology and its contribution that it can make to the mining world. But it remains to be seen how it gets monetized and comes out in a significantly commercially viable manner. And that is something we look forward to in the coming year.
Brett Reiss: Great. All right, thank you for taking my follow-ups.
David Goodman: Thank you, Brett.
Operator: There are no further questions at this time.
David Goodman: Well, thank you again for everyone for joining today’s call. We look forward to updating you again in May when we report our first quarter results.